Operator: Good morning. And thank you for joining us for OneSoft Solutions Financial Conference Call to discuss its Financial Results for the Third Quarter of Fiscal Year 2023 Ending September 30, 2023. On the call today, we have OneSoft's CEO, Dwayne Kushniruk; CFO, Paul Johnston; and President and COO, Brandon Taylor. As a reminder, all participants are in listen-only mode and the conference is being recorded.  Before management discusses the results, I'd like to remind everyone that certain statements in this call may be forward-looking in nature. These include statements involving known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied in our forward-looking statements. For caveats about forward-looking statements and risk factors, please see OneSoft's MD&A for the quarter ended September 30, 2023 and for the fiscal year ended December 31, 2022 which can be accessed on the company's profile at SEDAR Plus on the company's website.  I will now pass the call over to OneSoft's CEO, Dwayne Kushniruk. Please go ahead.
Dwayne Kushniruk: Good morning, and welcome to everyone on the call. I'm Dwayne Kushniruk, OneSoft's CEO. So this is our second financial results conference call and we are assuming that most attendees are familiar with our company. But to explain a little bit about what we do, in general, we provide software-as-a-service or SaaS solution that ingests, correlates and analyzes big data. We use cloud computing and machine learning to do this. And this helps pipeline operators to predict when and where oil and gas pipeline failures might occur. It allows these operators to optimize their integrity management and automates many of the functions that they must carry out to manage and maintain their pipeline assets including regulatory compliance. For those listeners who want to better understand our history and progress to-date, please view our last conference call, the link for which is accessible on www.onesoft.ca Web site. So you click on investor heading and then AGM and financial info and then Q2 earnings call. I have just a few remarks before Paul Johnston, our CFO, reviews financial information, which will be followed by Brandon Taylor, our President and COO, who will discuss operational highlights during the quarter and subsequent to the quarter's end. We will then wrap-up the call by addressing investor questions. The third quarter of fiscal 2023 ending September 30th progressed essentially in accordance with our expectations. Some highlights from the quarter include, revenue continued to increase quarter-over-quarter and year-over-year by 33% and 59% respectively over their comparative periods, and this came about as a result of addition of new customers, the acquisition of IM Operations last year and as our customers loaded more data and increased their consumption of our solutions. One of the notable highlights this quarter was we posted a profit in Q3 for the first time since fiscal 2018. We were profitable that year but decided to increase R&D and other spending since then to increase our competitive moat, to invest in new revenue opportunities by developing new functionality that our customers were requesting. So these activities caused expenses to exceed revenues as we progressed our business and technology roadmaps. We are very encouraged that this strategy is working as planned. It’s now delivering 50% year-over-year revenue growth and attracting new customers who have interest in the whole pipeline integrity solution we are building out. This also serves to lock in customer loyalty over multiple years into the future. Paul will review details regarding the year-to-date progress of the guidance we published at the beginning of this year and I am pleased to report that we expect to achieve the fiscal 2023 guidance in all material respects even considering that we decided to further increase our development expenses midyear. Our solution is becoming more and more entrenched as the new industry standard, and we are not yet encountering competition from any other software vendor who is able to deliver a cloud SaaS application to compete with our cognitive integrity management or CIM platform. Our competition today continues to be legacy systems and processes, mostly built around Excel spreadsheets, and those simply cannot rival the data management and analytics that CIM provides. Legacy systems do not address where the industry is going, which is heading towards more sophisticated data capture, management and analytics, and the compilation of the large data lakes that will be required to advance machine learning and AI for the industry. From corporate and business development perspectives, we are continuing to seek new relationships that can help us to engage and support customers outside the USA as well as other scenarios that can accelerate our market capture and revenue growth. And I am happy to announce that we are reiterating our full year guidance, which we provided. With this Introduction, I would now like to pass the call to Paul Johnston, CFO, to review the company's Q3 2023 financial information. Paul?
Paul Johnston: Thank you, Dwayne. I am Paul Johnston, I will present the financial results for the periods ending September 30, 2023. I remind you that all figures reported are in Canadian dollars. Before highlighting the specific details of the quarterly financials, I first wanted to start by highlighting the progress OneSoft has made in growing revenues over the past seven years. This chart illustrates Q3 2023 was another solid quarter with revenue up sequentially and year-over-year. We are extremely proud that our CIM solution and IM Operations have produced a compound annual growth rate of 43.9% over the last approximately seven years and by 55% in fiscal 2022 over fiscal 2021. In Q3, revenue was $2.8 million and it increased by $685,000 or 32.9% over Q3 2022. The increase was driven by adding new CIM customers and by customers expanding their use of CIM by $753,000, while IM Operations revenue declined $58,000. Gross profit increased by $590,000 or 38.3%. The increase was due to the higher sales volume and the moderation of direct costs, which allowed the gross margin to increase to 76.9% from 73.9%. Operating costs, net of costs capitalized, increased by $106,000. The company has increased the number of staff since September 2022 and wage increases have been selectively granted. Marketing expenses were at the same level as in Q3 2022. General and administrative expense costs moderated by $43,000. In this quarter last year, the company incurred legal fees for the IM Operations group acquisition, and it was also conducting a legal action against the party who had breached a software license use agreement. The acquisition was completed last year and the legal action successfully concluded in Q1 this year. As neither of these expenses repeated in this quarter this year, these costs declined and the savings were partially offset by higher accruals for insurance, annual audit and higher annual fees paid to securities commissions. Software development costs declined in the quarter as new product development slowed due to the completion of internal corrosion and lateral crack management per year this year, and due to staff being highly engaged with functionality requirements requested by existing customers and the implementation of CIM with a large new customer. Other expenses increased $65,000. Amortization of software development costs increased and income from the Alberta Provincial Innovation Employment Grant, which is like a [SR&ED] grant and foreign exchange decreased. Due to the much higher sales revenue and gross profit and only moderate increases in expenses and other expense, the company generated net income of $118,000. This was an improvement of $419,000 over the net loss of $300,000 recorded in Q3 2022. I now direct my remarks to the financial results for the nine months ended September 30, 2023. Revenue increased by 59% or $2.8 million from $4.7 million in this period last year to $7.5 million this year. The addition of new customers and greater use of CIM by existing customers generated $2 million of the increase. Revenue from the IM Operations increased by $767,000 due to it being acquired on June 30, 2022 resulting in three months of revenue being included in this period last year and nine months of revenue being included in the period this year. Gross profit increased by 67% to $5.6 million from $3.3 million this period last year, driven by the higher sales volume and proportionally reduced direct costs. The gross margin rose to 74.7% of sales from 71.2% last year. Operating expenses increased by $815,000 or 15.8%. Salaries and employee benefits were higher due to an increase in staff [complement], salary increases and higher accruals for year end incentives. Marketing expenses increased due to more production trials and benefit analyses being conducted and higher sales travel expense promoting our products to potential customers. Higher accruals for professional fees for the annual audit and related issues caused G&A expense to rise. Expenses capitalized as software development decreased by $143,000 in 2023 as staff were engaged developing software enhancements for existing customers, implementing a large new customer and that two new products having completed their development in earlier periods. The net loss decreased by 53.5% to $1.1 million from $2.3 million in this period last year. The higher sales revenue and gross margin were the primary factors causing the reduction in the net loss. Looking at our statement of financial position. Cash was $4.3 million at period end. The signing of new accounts and renewal of CIM contracts caused accounts receivable to rise to $2.4 million. We wish to note that $2.3 million of trade receivables were collected in October 2023. The company's only debt was the acquisition price payable of $238,000 for IM Operations as at September 30, 2023. Working capital on September 30, 2023 was $1.314 million versus $1.429 million as of December 31, 2022. The customer believes its cash of $4.3 million and accounts receivable is $2.4 million and expected future cash receipts are sufficient to finance company operations, and there will be no need to incur additional financing unless a special situation such as an acquisition or merger opportunity were to arise. Deferred revenue is an important source of financing for the company due to customers being required to pay the annual cost of their CIM contracts at the start of their contracts fiscal year. This table shows that in the nine months ended September 30, 2023, the company received $7.6 million in payments from its customers, which was $2.6 million higher than last year. $5.5 million of services were delivered in the same period, resulting in the deferred revenue balance being $2 million higher than as at December 31, 2022. On this slide we're showing our adjusted EBITDA, or earnings before interest, tax, depreciation, amortization, and stock compensation expense. Some people use adjusted EBITDA as a proxy for a company's ability to generate cash. In Q3 2023, the company generated positive EBITDA of $308,000 as compared to negative EBITDA in the comparative period of $100,000. Year-to-date in 2023, the company's negative EBITDA was $274,000, an improvement of $1.3 million over the negative EBITDA in this period in 2022 of $1.6 million. We now move to reviewing the guidance we provided for our company in 2023. We presented guidance in January 2023 that revenue of $10.1 million would be realized in 2023, which is a 47% increase year-over-year. Through September 2023, revenue of $7.5 million has been recorded, which is 74% of the guidance value. Given that the year is 75% complete and considering our sales prospects, we believe the guidance will be achieved. Gross profit shows similar achievement in that 74% of the guidance value has been recorded. Lastly, our guidance for net loss was $1.3 million and the adjusted EBITDA loss would a positive -- it would be negative $28,000, management believes these values will be achieved. Please refer to our Q3, 2023 interim financial statements and management discussion and analysis published on SEDAR for more information. This concludes my overview of the financial results. I will now turn the meeting over to Brandon Taylor, President and COO of OneSoft, for operational remarks.
Brandon Taylor: Thanks, Paul, and welcome, everyone. As Paul mentioned, I am Brandon Taylor, the President and COO of OneSoft. I would like to give everyone a general update on operations, repeat some that we did in Q2 but probably at a higher level. I would recommend that for further details look at our MD&A and previous quarter recording. But before we start that, I would like to first state that we had a very good quarter. And to sum it up, we feel the business is executing very well against our guidance as Paul just covered. What we are showing here is one of the key metrics that we introduced and talked about in-depth last quarter update was a key metric that we are using here at OneSoft to measure progress is the number of pipelines under subscription. And as a reminder, the US has 2.7 million miles of oil and gas pipelines, of which about 660,000 are piggable, meaning that those miles of type accommodate what's called in line inspection tools to collect large numbers of data points as it goes down the pipe, that provides clues to the integrity of the pipeline. We now have over 135,000, this represents about 20% of the piggable miles in the US, and these are under multi year subscriptions with our customers. And wherein this PIG data, which is a pipeline inspection gauge, that's what generates this in line inspection data is ingested and managed by our same platform. These piggable miles represent really the foundational data set for the initial functionality that we built in CIM, and what's really resulted in the addition of our very first customers and every customer uses as they onboard our solution. Since initially reporting our guidance in January, we added another reporting metric and that's the number of pipeline miles operated by our customers in aggregate. This figure has increased substantially from 189,000 in June quarter to 261,000 in the September quarter. This increase came from the addition of a large customer and through acquisitions of other pipeline operators our current customers made during Q3. They are in process of onboarding those miles into CIM currently. And the version of CIM that they run today, just to be clear on that, 261,000 miles represents about 9.7 miles of the 2.7 miles of all oil and gas pipelines in the US. And consideration of total rather than just the piggable miles is important because the new software modules that we are in process of developing and that Paul mentioned that we have released internal corrosion includes not only just internal corrosion but the external corrosion model that we're working on, risk management track, which released in Q4 of this year and geo strain, bending strain. Those modules specifically increase our TAM beyond just the piggable miles to more segments of that 2.7 million miles of assets. And since we also signed multiyear agreements with multinational, and these are Fortune 50, 100, Fortune 500 companies, we signed a very large multinational pipeline company that has over 70,000 miles of liquid and gas pipelines situated throughout Canada and US, which approximately 25% is under SaaS subscription. You'll notice that our average annualized revenue generated per mile over the nine months was consistent at approximately CAD136, so we'll keep updating this charge as we go on quarterly updates. Also, I'd like to talk on this crossing the chasm -- Geoffrey Moore's crossing the chasm model we talked about last time. These pipeline miles under multiyear agreements really support our belief that our solutions are becoming the commanding leader in the industry. This really bodes well for the future revenue generation and opportunities for us to increase shareholder value. And for those who follow the company closely, you'll recognize kind of the market position we are on this chart, which really corresponds to Geoffrey Moore's bowling alley. And we really translate that, these pins into internal corrosion, external corrosion, et cetera, which really set the stage for new technology adoption, and we explained that in quite detail in our MD&A's, so I'd recommend that you check those out. As we explained in the last quarter's report, our market and sales transition, the focus on the economic buyer and ROI and implementing our solution is seeing very positive results. We spent multi years really putting in and we really continue to evolve and formalize this process. We're in actively engaged to numerous what we call benefit analyses, which is take their current process, current state to future state with their solution. As part of that, it's really calculating our cost savings and financial ROI. And we're doing that with all prospects, both North American international and we really expect the result and addition of new customers. The sales transition has also helped us close that large customer in Q3 who really decided to implement CIM rather than pursue in-house development project. We continue to investigate not only just around these models, but into potential reseller and implementation partners during Q3, and those are particular for international regions that we feel is better served with local resources specifically when you consider language and time zone challenges. And then regarding corporate development and business development, we attended several investor and shareholder meetings in the quarter and continued to explore relationships with third parties who can potentially assist us and to accelerate that revenue and business growth. The other thing I'd like to wrap up here on is that we held our very first annual user group conference at the Microsoft Technology Center in Houston in October. The event was penned by the capacity. We actually oversold it by most of our customers in person, along with some who attended virtually. We're pleased to report the customer confidence with our solutions, our people, the technology, future roadmap is extremely high. We had zero negative feedback and we asked multiple times and ways. And very encouraging signs that most customers intend to integrate the new modules that we're building under development into their operations. The user group we formalized a new product steering committee who's comprised of director of integrity, VP level individuals from our customer base who have buying authority for future technology adoption across multiple departments within each of these organizations, accounting for internal, external risks, et cetera. The steering committee will likely meet twice a year and we believe this serves as important qualifier regarding what new functionality we build as this approach greatly streamlines future sales efforts for these new modules.  And finally, I'd really like to iterate our thoughts about AI and we talked about this in the last quarter call. As this has become an increasing interest to all stakeholders, we continue to evolve the machine learning capabilities as part of our technology development, continue to increase the data lake, which is necessary to evolve AI. We believe that OneSoft has one of, if probably not the largest, collection of industry data that will support AI in the future. This coupled with the capability of CIM platform to adjust and align really vendor agnostic data sets, regardless of really who collects that data, gives us quite a unique advantage prevail in what we believe will be an upcoming AI technology race for the industry at some point in the future time. What OneSoft has already done in this regard is pretty unique. Our customers continue to work with us very closely to share their data to us that we can use to extract new learnings, best practices and then push that out to all customers and then what we call shared learning across our solutions. With that, I'd like to thank everybody for attending today's webinar. And I'll now hand it back to Dwayne to wrap up.
Dwayne Kushniruk: Thanks Brandon. So looking ahead, we believe that OneSoft is very well positioned for continued success with no boulders on the hill that are evident today. We have a strong balance sheet and all the cash we need to execute our business plans as currently envisioned and no debts other than the small amounts that arose from the acquisition we completed last year. We have the leading solution in the market, hallmark, Fortune 50, 100 and 500 customers who have strongly validated our solutions and a strong pipeline of potential new customers who we believe will adopt our solutions in future periods. With this, I'd like to thank everyone again for are taking the time to tune in today for our conference, and invite anyone with questions to raise them now or by email at your convenience. I'll pass this call back to the operator to start the Q&A session.
Operator: [Operator Instructions] I will now hand the floor over to Sean Peasgood, who will moderate the Q&A session.
Sean Peasgood: Thank you very much. Good morning everybody. And thanks for the questions that have been coming in throughout the call. We already have a number and they are still coming please feel free to continue to submit and we will try to get to all of them. Starting with the first question. Pipe miles generating revenue came in at $72,360 versus the full year guidance of $65,697, well ahead of the guidance. Can you explain what happened here and do you anticipate growing this more in Q4?
Dwayne Kushniruk: Brandon, do you want to take that?
Brandon Taylor: Really that number is not super in our control, just from the perspective that it is very variable from an existing customer that does an acquisition. It's really how well are those acquisition systems miles, where they could bulk load them all at once or do they have to do it over multiple years. Our sales process as well, we have customers that are on maybe a legacy system or sell sheets, where they want to bring it all in at the initial part of the implementation or it may take them five years. So in the term of this quarter, we had a lot of our existing customers do acquisitions where they did do bulk load or an accelerated adoption of the miles into the solution, and since the number went up from that perspective. But it’s not something that OneSoft controls more so than our customers when they have time and resources and they have systems in place to be able to bring that data in much more quickly is what kind of drives that number, if that makes sense.
Sean Peasgood: And following on to this, I mean, there is also a question here that came in independently. So with a large new customer and a number of acquisitions of operator by existing customers, when do you anticipate log ingestion revenue from these customers to be realized? So I don't know if that was fully answered there, but definitely related I would think.
Dwayne Kushniruk: I will just maybe jump in. When we provide our guidance here, we provide numbers that we can assess to the best of our ability. So what you are looking at in this quarter is, obviously, we are ahead of where we thought we might be, and that's okay. This is software running. So it’s not like we have to hire a bunch more people to do this. This is -- software takes that load and can take it at any speed that customers want to increase their consumption. So we do our best guess based on what we know. But as Brandon says, we are not really in control. A lot of things -- a lot of factors that drive the speed at which these customers will upload their data for segments of their pipes.
Sean Peasgood: You recognize material production trials revenue this quarter. Is this related to customers contracted for future potential customers? So I am not sure if you can provide any detail around the production trial revenue.
Paul Johnston: Production trials generally do not generate revenue. Production trial, we allow the customer to use the system, they load a smaller amount of data and gain confidence that our systems work and that leads to the signing of contracts. So I trust that answers the question.
Sean Peasgood: Post the quarter, you received nearly $2.3 million of your outstanding receivable. Do you anticipate being free cash flow positive for the year? And then just tying into this another question, do you expect to be profitable on a quarterly basis from this point forward?
Paul Johnston: With regards to being free cash positive, I think that was the question. Certainly, we're striving to achieve that by continuing to grow our revenues and not overly match that with increase in expenses. So certainly, we're going in that direction. And I think the second question was do we expect to be profitable in future quarters. And again, that's an important management objective, which we're trying very hard to achieve.
Sean Peasgood: How come about half the subscription miles do not generate revenue? Do you anticipate making the guidance of 151,000 subscription miles?
Dwayne Kushniruk: As we said, we expect we're going to achieve the guidance figures in all material respects. We just can't be any more explicit at this point. Let's just wait and see what happens with Q4.
Sean Peasgood: Exxon and Chevron acquired Pioneer and Hess respectively after Q3. Do they have material midstream asset, ILI logs that would be recovered by CIM -- that would be covered by CIM? I'm not sure what’s the comment you would make there.
Dwayne Kushniruk: I'm not sure that we can comment about any customers in particular. Brandon, you may want to speak generally to answer that question.
Brandon Taylor: Yes, we won't be able to speak specifically on customers. And we really, to be honest with you, we've seen all of those announcements. The people that we work at these customers, they haven't even started engaging any of those. There's a bunch of regulatory things for all of that to happen. So we won't know that until 2024 when they get final approval and then they'll engage the integrity teams to start basically looking at the business. Right now, it's the C suite aren't just transactional, not operational, so we won't know that yet.
Sean Peasgood: Moving to product roadmap, couple of people asking questions on this, so I'll just kind of integrate them back. Can you add more color on the product roadmap for each new module, including commercialization date and anticipated cadence of adoption and penetration into existing revenue generating miles?
Brandon Taylor: So internal corrosion, we're seeing very good adoption. We're in benefit analysis in multiple customers, especially after our user group conference. We have some that have adopted since, so that is in motion. It will continue to evolve mostly around ROI. The sheet I talked about on cost savings and ROI, crack management, we did a soft launch in October, we'll actually launch that in Q4. We anticipate that those -- that initial release is really geared towards operators who run crack and line inspection tools and then that will evolve for those operators who don't, which are typically the smaller. The larger operators typically won't run crack in line inspection, which will obviously feed into the revenue. And then as future versions of that solution go out to address the smaller operators who do preliminary, what they call pressure cycle fatigue analysis without the crack runs, that'll feed into revenue. So that one's on its way. We are really in private preview now and [indiscernible] stream. One of the things that we started to do on that is really break that down into three phases. So we anticipate some revenue under kind of the innovation lab this year, which will be non-ARR with the intent that as we move that solution forward into 2024 we'll start looking at ARR revenue related to that. The other two external corrosion management is on its way except it's a bigger footprint, specifically within our solution, the entire life cycle. And we've broken that up into cases as well with expected revenue generation on that in 2024 as well. Risk management, that one's a little more challenging, mostly from the perspective that today our customers have a risk management solution that is legacy, on prem and on what they call within the industry index based. I think government regulations have kind of tried to drive the entire industry into more quantitative, probabilistic, which fits with us well. And if you follow the company, we partnered with C-FER Technologies, which is a Canadian research organization that have built probabilistic models and we've embedded those into the solution. The challenge that we have generally there is that we have to do some education on the probabilistic models, as well as start moving them off their legacies. We have four private previews in process now. And we're hoping that within summer to fall of next year, we can start moving some of our customers off that start generating revenue on that module.
Sean Peasgood: Sticking to this kind of theme. Were you able to hire all the staff you planned to speed up the development efforts, or maybe just talk about kind of where you are in the hiring process if you're hiring more people? Or couple of people just asking if there are key hires you need to make here still, or have you completed that process?
Dwayne Kushniruk: We've completed that process. All of our developers have been onboarded for some time now, now we're on the onboarding training to get them up to speed. So as of today, we have no open position to hire for.
Sean Peasgood: Are you seeing any reduction in recent client onboarding times? 
Dwayne Kushniruk: We typically have from the beginning, for sure, and continue to evolve that, that really depends on the state of the clients, how well their data is and if it's in a database, which most are not, and is it organized. The onboarding time has decreased over time.
Sean Peasgood: You often mentioned that you don't have any direct competition in terms of technology vendors. Is this an impediment to sales where buyers typically like to have a product alternative to compare to?
Brandon Taylor: I don't know if it’s an impediment to sales from the perspective that typically even if there was competition, 80% of our customers for the solutions we placed use Microsoft Excel as their integrity management solution. So what we find is it’s not necessarily a comparative feature-to-feature from different vendors. If we had a competitor, it’s basically the change management component within the organization that would drive an impact to sales, hence why we have really focused on this stage of crossing the chasm on the ROI and the economic buyer, because that's ultimately what drives that. This industry is, if you follow the company is very regulatory intensive. And so we get a lot of our customers a good analogy that I have heard is that, you have got to run with the animal. The good thing is that all of our customers are kind of the leading, so people are starting to see that this is the solution. If you don't want it -- if you have a regulatory event or release event, you don't want to be the operator that's not running a solution such as OneSoft.
Sean Peasgood: A related question, how much do your customers spend on legacy risk management on prem solutions? This person is trying to understand the ROI that your solution would provide.
Brandon Taylor: We have some metrics on that, that have basically been fed into our pricing. But I don't think that we will break it out in a call like this on -- it's a pretty granular question on specific modules, we won't do module based pricing per se.
Dwayne Kushniruk: I think I will just jump in and add that, what we have noticed with a lot of our customers is that, when we are talking to the risk department, they are really not aware of the entire cost that their organization is incurring. And what we are doing with our -- with the analyses we are doing for ROI is we are looking at everything, the cost of the data and the cost of this and the cost of this department who influences their work and so on. So we are taking a much more holistic view. And generally the people who are using our software don't have that visibility or awareness. And so that makes it -- it’s very difficult to get the initial metrics that we started with but that's coming along quite nicely now.
Sean Peasgood: ROSEN was recently sold. Do you anticipate any change in competitive dynamic based on this?
Dwayne Kushniruk: I have no idea.
Brandon Taylor: So within the two vendors, but to be clear for those that are new, we are vendor agnostic, meaning, that we ingest ROSEN data, TDW data, these are roughly about 45 of these in line inspection tool vendors. So that will have no impact from our perspective. It could within the industry on -- if an operator, such as Phillips 66 chooses to use ROSEN or not, they will use another tool vendor. For us it's in line inspection data. So won't notice anything from a one stop perspective.
Sean Peasgood: I was thinking about a follow-up on this one. I'm just wondering if you could just speak to the data that ROSEN provides to your customers and then how that gets over to you, like how the PIG vendors collect this data, how its packaged and sent versus what you're doing with your customers?
Brandon Taylor: So just for those that haven't followed this company, tool vendor such as ROSEN will run PIG, pipeline inspection gauge, whether it's liquid or gas, they'll insert it into the pipe, an operator will contract with ROSEN. We want to run this MFL tool, pick a date, time, the technology, insert it into what they call launch valves, the product will actually push it down the pipe. Remember, most of the pipes are buried 10-feet under the ground. It will push down the pipe come out a receive valve, tool vendor will take that physical device back to theirs, aggregate the data there, consolidate it down to what they call in line inspection, height tally, it's an industry term, that basically shows where it found features down the pipe, the welds, where it found an anomaly that's certain depth. They'll actually put that in a comma delimited Excel file and send it via email to the operator. All tool vendors do that today. One of the things that we're doing in the solution in the future release is the result of this latest customer we onboarded. If you can appreciate, if something was wrong with the file, the operator has to contact the tool vendor back and send another file, just back and forth and it takes months. We're in our solution building the capability the tool vendor and operators asking us to do this, force the tool vendor to actually load their data into our solution directly and just avoid everything around that. So in the future, ROSEN would run a tool, log in to CIM, upload their file, fix any issues themselves. The operator will get notified that file has been fixed and now they can continue their work, and it just eliminated a ton of stuff. So every tool vendor in the future will load their data directly into CIM once we release that feature. So when we talk about continued enhancements to CIM, those are the type of enhancements that we're making to the solution.
Sean Peasgood: Just I want to make sure people understood kind of the process. Can you explain, so this is just on roadmaps. So can you explain the current planned roadmap and timeline to listing on the NASDAQ? I don't know if that's a plan or not. I don't know if it's been communicated, but someone's asking about it.
Dwayne Kushniruk: No, I think we're not ready to talk about anything like that. There are no current plans to uplist, we've investigated it, but we're not at that point yet.
Sean Peasgood: Another one, are you expecting to update your addressable market at year-end? So probably relating to what you're putting in your MD&A.
Dwayne Kushniruk: Yes, I think the last time we published our estimate of TAM was a few years ago. We've learned a lot since then. We've obviously pivoted some of our priorities and so on. So we acknowledge it's time to update that. And we're in the process of doing that internally. And once that is done internally, we will publish it, once we're confident about what we're able to disclose. The plan is, hopefully, we will get that done at the year end MD&A. So that will be out sometime in Q1 or somewhere in early in 2024. The first third of 2024, that's the plan today to update that.
Sean Peasgood: And other related to the TAM. Has there been any progress on your international market sales efforts?
Dwayne Kushniruk: Yes. Brandon, do you want to expand on that?
Brandon Taylor: Yes, those are continuing. We have multiple international sales opportunities in motion right now that take longer. Typically, you'll find outside the United States and Canada that a lot of government owned pipelines and LATAM as an example. We participated in a conference this year over in Berlin to look at EMEA, Europe, Middle East and Africa. We're actually, I think we mentioned in conversations with partners to basically help us facilitate both the sales, the onboarding and support of customers internationally. So yes, the answer to that question is there's lots of activity and we're moving some quite far down the road as far as benefit analysis, et cetera.
Sean Peasgood: Couple more here. Can you comment on the average length of customer contracts and the weighted average remaining life of contracts for your current clients and there's a lot there, so in general terms?
Brandon Taylor: I can take the first part of that question. Paul, maybe you can jump in. I'm not sure about the weighted average. I don't know that we've done that calculation. But typically our average is probably three to five in that range is average. We have some customers that have gone 10 or seven years. The minimum is typically that we see is three years, but we have a lot of customers in that five. We had one of our very first customers that started this at three year. When they renewed, they went five years. So these are multi year. But I don't know if we'd be able figure out what the weighted average is, I suspect we could. But I don't think we've done that. Paul?
Paul Johnston: I would echo Brandon's comments. Firstly, we do not track the length of the contract let's say a spreadsheet or database some type, and do a calculation like a weighted average calculation. So we simply can't answer that question. And I think Brandon has addressed that question in full.
Dwayne Kushniruk: I would just add that from our perspective, we have good confidence that these customers are going to stick with us in the future, providing we continue to evolve our technology. This is not an industry or not a situation where our customers have alternatives to what we're doing. Their only alternative is to go backwards to legacy systems and processes. And that's very difficult to do once you organize your data and start getting this kind of analytics done, how do you operate without it. So for us, I don't think we would even spend the time and effort to do a weighted average, because we are just plowing ahead with the assumption that our customers are going to stick with us.
Sean Peasgood: We got one last kind of topic here in question and combine a few together. You have used the term standard in some of your remarks. If you truly become a standard, it would seem that you would ultimately gain the great majority of the piggable miles. Can you give us a sense of the objections you face to those larger players who have yet to adopt CIM? I guess, that's the first question. Also conceptually if we look out 24 months from now, can you give us a sense or do you have a sense of what proportion of the product mix you might hope to be associated with modules?
Brandon Taylor: I will take the first question. I am not sure I would be able to answer the second at this point. Maybe we will have more sense when we update our TAM on that second question. But related to the first question, it’s not in the industry today, there isn't anybody who doesn't know who OneSoft is. It’s talked about at multiple conferences. We get people telling us all the time, are you running CIM, is the question to other operators. For us, I think from a sales perspective and adoption as you kind of move through that curve and that's why we show this crossing the chasm. If you have got to finish the pins to get to that whole solution, so you start getting that early majority, late majority. But really the thing that we find is probably the thing that still extends the contract and the sales cycle is just a component of change management. And remember, these are Fortune 500 companies with lots of initiatives going on. The main business is shipping product, the integrity. So for them, it takes time organizationally to basically get organized and put together both the champions and the cross departmental ability. And then this is new, we consider the industry kind of at the tail end of the digital transformation initiative that's happened in most industries. So for them, a lot of this is new. We still run across some operators who are cloud [negative], I mean they haven't adopted cloud. So Microsoft, what we typically do with them is let them sell the cloud component and once they have got the IT organization inside the operator starting to consume cloud resources then we can actually talk to the business about being another workload on that cloud, but first that has to happen. So there is still a spectrum on the large operators and that all has to do with change management, whether the CEOs are driving that strategically or not. So that's probably the number one thing that we see is just the change management, and that's shortening in cycles as we onboard new customers. Our latest customer had a lot of input or impact into that, because they were large and they were on the right side of the spectrum on the chasm, and it really stood up notice for the other operators, wow, this operator's doing that, then we really have to look at that. So I think that's probably the biggest thing that we have. And as far as the modules go, I think it probably would be best because once we get our TAM numbers updated, we could probably help try to use that to try to figure out 24 months what would shift -- what would the metrics look like as far as modules within the industry. Dwayne, I don't know if you want to add more to that.
Dwayne Kushniruk: No, I think you've got it.
Sean Peasgood: I think we're going to wrap it up here. There's maybe one or two questions left. I tried to cover and combine as many as possible. Just want to once again thank everybody for taking the time to listen to the call you and submitting the questions. I think what makes these calls greater are the number of questions we get, so in the future we really appreciate everybody taking the time and doing that. And if anybody has any additional questions, our contact information is here on the screen, feel free to contact anybody on the screen at any time you follow-up with us. And with that, I'll pass the call back to management for closing remarks. Thanks.
Dwayne Kushniruk: Thanks a lot, Sean, for moderating. I'd like to thank Sean and Marcel for helping us as they always do. We look forward to continuing these quarterly calls to share information and updates. And I'd like to thank everybody on the call for your support and your interest, and just have a great rest of your day and week. I'll turn this back to the operator.
Operator: Thank you. This concludes OneSoft Solutions Q3 2023 conference call. We thank you for joining us, and have a pleasant day.